Operator: This conference is being recorded. All participants, please standby. Your conference is ready to begin. Thank you all for joining this morning. Before I turn the call over, I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors, which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana's press release issued yesterday announcing Fourth Quarter 2021 Results as well as the management's discussion and analysis for the same period and other regulatory filings in Canada and the United States. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 12:00 p.m. Eastern Time. Replay information and the presentation slides accompanying this conference call and webcast are available on Yamana's website at yamana.com. I will now turn the call over to Mr. Daniel Racine, President and CEO.
Daniel Racine: Thank you operator. Thank you all for joining us today. Presenting with me today is Jason LeBlanc, our Senior VP, Finance and Chief Financial Officer. Other members of our team will also be able to answer the question during the Q&A portion of the call. I will start, as always, with health, safety and sustainable development. The health and safety of our employees are always come first -- always come first. And despite our excellent track record, this is something we are always trying to improve. Our total recordable injury rate was 0.73 for 2021. And I would like to thank all our employees for remaining focused and committed to our safety values during the past year. As noted before, since the beginning of the pandemic, we have taken quick action to limit the impact of COVID-19 on our operations and the communities in which we operate, and we are continuing to effectively manage COVID-19. We have put in place a number of measures across the company to minimize the spread of COVID-19. Notably, we are happy to report that more than 99% of the company's employees and contractors have received at least 1 dose of COVID-19 vaccine and more than 94% have received 2 doses. 2021 also marks the completion of the second year of 3 years implementation of the Mining Association of Canada's towards sustainable development -- Sustainable Mining program and the Word Council's Responsible Gold Mining Principles. We achieved some notable milestone and recognition in 2021, as you can see on the slide. I'm particularly proud of the fundamental work surrounding our updated climate action strategy, which underpins our commitment to a low carbon future and set us on the path towards greenhouse gas abatement target consistent with a 1.5-degree Celsius temperature scenario. We are on track to produce approximately 85% of our gold equivalent ounces with renewable energy by the end of 2022. Yamana has the longest theory of prioritizing the health and safety of its people, sustainable development and environmental production wherever it operates. Turning now to the 2021 highlights. We delivered strong operational results across the board and exceeded our 2021 production guidance for both gold and gold equivalent ounces. As guided, the fourth quarter was particularly strong with production from the company's 5 operating mines, achieving an all-time record with Canadian Malartic, Jacobina, Cerro Moro and El Peñón posting stand-out quarters. We were able to deliver this increased production at lower costs with total cost of sale, cash costs and all-in sustaining costs all lower year-over-year. This strong operational performance is expected to continue into the future, as you can see from our guidance shown on this slide, which I will come back to in more detail in just one moment. Not only are we delivering results today, but we are also setting the stage for meaningful growth in the coming years. During the year, we announced a positive development decision at the Wasamac project, continue to advance the Odyssey, both on time and on budget and recently received the necessary permit at Jacobina to ramp up production as we advance te Phase 2 expansion that would allow this mine to reach 230,000 ounces per year. We are also continuing to advance the plan expansion study and heap-leach metallurgical lab testing at Cerro Moro and progressing the MARA feasibility study and permitting process. These actions position us to be able to deliver on a number of upcoming catalysts, which we believe will deliver significant value to our shareholders. And finally, we replaced depletion of mineral reserves highlighting the sustainability and longevity of our portfolio, which I will explore in more depth over the next couple of slides. Focusing on our mineral reserve, we continued on our track record of mineral reserve replacement. We replaced gold mineral reserve at each of our wholly-owned operation and by 130% of depletion on a consolidated basis. This continues our strong track record of mineral reserve growth, which we expect to continue into the future. At Canadian Malartic, underground mineral resources at Odyssey continued to grow as a result of ongoing exploration drilling. Ongoing infill drilling program continues to increase the inventory of indicated mineral resources to support the planned conversion of mineral resources to mineral reserves. Expansion of the mineral resource envelope on all direction added new inferred mineral resources to the inventory with a high potential for future conversion and inclusion in the mine plan. Jacobina had another year of mineral reserve and mineral growth -- resource growth. Gold mineral reserve had grown by 55% or more than 1 million ounces net of depletion over the past 4 years. Notably, Cerro Moro successfully replaced depletion of mineral reserve on a GEO basis, largely as a result of the extension of high-grade veins at the main ore bodies of Zoe, Martina and Nate, which remain open at depth. This extends the mine life of Cerro Moro, and we expect this to be an ongoing trend of mineral reserve and mineral resource growth, similar to mineral reserve replacement cycle established at the company, more major operation. At El Peñón, we achieved a fourth quarter year and -- a fourth consecutive year of adding mineral reserves in excess of depletion. Mineral reserves added in 2021 were higher grade and increased the average gold and silver mineral reserve grade by 3%. This extends the mine life at El Peñón yet again, and the new resources provide an inventory for future mineral reserve development. At Minera Florida drilling in key production sector, most notably Don Leopoldo and Fantasma, continue to expand mineralization along strike and down dip, and targets remain open in both directions, underscoring upside potential. Finally, at Wasamac, we added 143,000 gold ounces to mineral reserves through the optimization of the mining method and mine design following an in-depth geotechnical analysis. The growing mineral reserve and mineral resources, they support our vision to have a production platform of 200,000 ounces per year with an all-in sustaining cost below $850 per ounce over a mine life of at least 15 years. Turning now to our broader resource base. Yamana has attempted to differentiate itself over the last several years by replacing depletion of mineral reserves and growing its resource base for future conversion. The result of which is that when we look at over several years, there has been a very significant increase in reserves and resources. Over the past 5 years, total gold equivalent mineral reserve and mineral resources at the 5 operating mines have increased by 32%. Net of the $4.6 million gold equivalent ounces produced by the operation over that period. This brownfield exploration success extend the lives of the existing operation and present opportunities for growth within the portfolio. As a result, the company is able to add future through the drill bit – add future to the drill bit at a low cost per ounces with low risk and with minimal disturbance to the environment. With the addition of Wasamac, the mineral reserve and mineral resources growth rate increased to 45% over 5 years. Wasamac is already showing great exploration potential, and we believe once in production it will be able to replicate the mineral reserve and mineral resources replacement cycle demonstrated at the company's operating mines. Looking at just our own operation at Wasamac we increased GEO mineral reserve by over 4% this year. Our track record of mineral reserve replacement is made more impressive by the inclusion of Canadian Malartic, which given the nature of the open pit operation, we do not expect to replace its depletion. Excluding Canadian Malartic, the company has successfully delivered a 15% net increase in GEO mineral reserve at its wholly owned operations since 2017. With the inclusion of Wasamac, this net increase grows to 55%. With a significant and growing mineral resource base at the Odyssey project, our trend of mineral reserve growth should accelerate as we continue to deliver on our track record at all owned operation and start converting mineral resources into mineral reserve at Odyssey. Maintaining a sustainable production profile and replacing mineral reserve depletion requires a strong mineral resource growth program. Notably, we have been able to achieve growth in our mineral reserve base without depleting mineral resources. In fact, last year, we grew measured and indicated mineral resources at our wholly-owned operation and Canadian Malartic by a combined 15% without depleting inferred mineral resources, which were up marginally year-over-year. The significant mineral resources pit at the wholly-owned operation and Canadian Malartic provides a pipeline for continuing the increasing mineral reserve trend over the past 5 years. Our company-wide reserve and resource show significant scale and underpin our production guidance, which I will walk through in more detail now. We expect to maintain production of 1 million ounces -- gold equivalent ounces in 2022, but deliver a near growth in both 2023 and 2024. This 3% and 6% growth exceed the guidance provided last year and the previous plan on which that guidance was based. And this improvement reflects the resource and reserve growth already discussed and the continuous optimization of our operation. Due to stabilized mine development and sequencing for 2022, we expect a steadier production level quarter-over-quarter instead of that much stronger weighting to the second half of the year we saw in 2021 in prior years. However, the first quarter is expected to be the lowest production quarter of the year, in part because of the Jacobina Phase 2 ramp up to higher throughput during the year. We see cash costs not exceeding $725 per GEO this year with an all-in sustaining cost not exceeding $1,080 per GEO, which is aligned with the 3% net increase at our wholly-owned operation we guided in January. Our costs are expected to trend lower post 2022 as increasing production, particularly at Jacobina, is expected to drive down costs and improve overall margin and cash flow. There is a mine-by-mine guidance information shown on the next slide and in the guidance outlook section of the MD&A for your reference. While I won't spend too much time on all the numbers on this slide, I do want to comment on the positive production trend we see over the near term. Overall, production growth of 6% is driven in large part by an increase of 18% at Jacobina, and this is also our lowest cost mine. The changing production mix will also have a favorable impact on our cost profile and cash flow generation moving forward. We are also expecting production at Canadian Malartic to increase past 2022 with a corresponding improvement in cost as the strip ratio normalize as the open pit transition from Malartic to the Barnat pit. Last year, the company introduced its long-term 10-year production outlook to demonstrate the confidence it has in the sustainability of its production platform, the long mine life and overall value of its assets. While we expect to update this formal outlook every other year, we plan on providing an indication as to what we expect based on the interim exploration, mineral resources conversion and asset evaluations.  Based on the work done to date, we expect to increase our sustainable baseline annual production at the current operation to 1,000,050 GEO per year, beginning in 2025. This growth in the sustainable production platform is supported by our existing asset base and is not dependent on any further exploration success. We also believe that our original growth outlook to 1.2 million GEO is conservative and will have a significant production upside at our operating mines and at the Wasamac project. Preliminary evaluations have identified a number of opportunities for further growth, including the potential for a Phase 4 expansion at Jacobina, the potential plant expansion and heap-leach project at Cerro Moro, the addition of the new South Deep discovery into the mine plant at El Peñón and the possible addition of a second shaft and further production from upper ore bodies accessed by the ramp at Odyssey. At Wasamac, there remains the potential for higher production level from Wildcat, Wildcat South and the highly prospective Francoeur, Arntfield and Lac Fortune properties. Assuming all of these identified opportunities are advanced, the company production potential could reach up to 1.5 million GEO within the 10 years outlook horizon and meaningfully extend that production profile beyond the 10-year time frame. We also have other development projects and strategic assets with the potential to drive significant long-term production upside towards the end of the current decade and beyond such as MARA and others that can also create strategic value creation for the company. Before I pass it to Jason to go over our fourth quarter financial performance, I will briefly touch upon some operational highlights for the quarter. Overall, as guided, production was weighted towards the second half of the year with record fourth quarter production significantly exceeding the previously provided guidance with exceptional results across our core portfolio. Fourth quarter gold production marked the highest all-time total production from Yamana's mine. Silver production was underpinned by both El Peñón and Cerro Moro, which recorded their highest quarterly silver production total of the year. Fourth quarter total cost of sale cash costs and all-in sustaining costs per GEO were the lowest quarterly cost of the year. For the year, total cost of sale, cash costs and all-in sustaining costs per GEO were all lower year-over-year. Turning to the individual drivers of our performance. Canadian Malartic delivered a strong quarter, and it continued to benefit from higher grade ore and recoveries as it transitioned from the Malartic pit to the Barnat pit. Production for the year exceeded annual guidance. We also continue to advance underground development and recently completed the concrete pour for the headframe. Shaft sinking is expected to commence later this year. Jacobina had an exceptional quarter and delivered record production driven by tonnes mined, production in 2021 increased for the 8 consecutive years and also beat annual guidance. This positive trend should continue as we recently received the necessary permits to increase throughput for our phase expansion strategy as well as the spectacular exploration success discussed earlier. Cerro Moro continued to benefit from access to additional mining phases, which supported the increase in mill feed coming from higher grade underground ore and stable throughput. Fourth quarter production was the strongest of the year. At Cerro Moro, we also completed metallurgical lab testing and are continuing to explore scalable plant and heap-leach – heap-leaching upside opportunities. Our pathway to growth depends on the result of the test work, and we plan on advancing the selected expansion option to a prefeasibility study level by early 2023. El Peñón had its strongest production quarter of the year as operations entered high-grade zone at La Paloma and Pampa Complementa mining sectors, annual production also exceeded guidance. Notably successful exploration efforts has delivered a new discovery zone known as South Deep. With exploration success, the objective of El Peñón is to utilize the excess plant capacity and increased production. Lastly, Minera Florida delivered an annual production that was largely in line with previously provided guidance range despite a short-lived labor action impacting approximately 3 weeks of production in December. The plant de-bottlenecking study is advancing to increase throughput. In Q4, the impact and social environment assessment for the expansion was submitted. With the expected permitting timelines, the mine could begin operating at 100,000 tonne per month level in 2025. I will now turn it to Jason to comment on our financial performance.
Jason LeBlanc: Thank you, Daniel, and good morning, everyone. Turning to our fourth quarter financial performance. The strong production results helped revenue reach $503.8 million during the quarter, a 9% increase compared to the same period last year. Gross margins, excluding DD&A rose 10% to $323.8 million from the year earlier period. And earnings during the quarter were $109.7 million or $0.11 per share compared with $103 million or $0.11 a year earlier. On an adjusted basis, earnings were also $0.11 and similar to last year. We continue to generate robust cash flows and cash flows from operating activities before and after working capital of 14% and 25% growth, respectively, compared to last quarter. We also generated great free cash flow before dividends and debt repayment during the quarter, which increased 47% from the third quarter. After an increase in cash balances, excluding MARA of about $68 million during the quarter, we ended the year with cash and equivalents of approximately $308 million and also held about $217 million for use at the MARA project. The strong change in cash was after purchasing a further 3.4 million shares during Q4 under our normal course issuer bid. Taking a look at capital spending guidance for 2022. Our sustaining and exploration spending remains similar to '21, but expansionary capital has increased to $197 million, as planned, and attributable to Odyssey at Canadian Malartic. The increased construction activity at Odyssey this year is attributable to the surface and infrastructure work on the face plant, the maintenance shop and various other service buildings, power line and the shaft sinking, as Daniel mentioned, starting in Q4. Underground spending primarily on lateral development is also increasing as well from last year. The overall expiration budget is up slightly. But one of the focuses of our spending this year is a significantly higher budget at Jacobina, given their large and prospective land holdings and track record of growing reserves and resources. So we've doubled Jacobina's budget to $15 million to continue to increase and upgrade the reserve and resource base at the mine but also a larger dedicated budget to unlock the district potential and identify new targets. In addition, there is a specific $3 million budget at Jacobina Norte this year, also approximately doubled to build on the ground program from last year that identified large new areas of mineralized reefs to follow up for this year. Our exploration budget also allocates $18 million to Cerro Moro, underscoring our commitment to the exploration potential there on the operation and our ability to expand the mineral resources at this operation and extend mine life, continuing on the trend we established this year, but also to position for the expansion opportunities we're developing there. The other program of note is $20 million at El Peñón with a meaningful focus on the new South Deep area that we're very excited about. And with that, I'll hand back to Daniel.
Daniel Racine: Thanks, Jason. During the quarter, we continued to demonstrate our operational strength and advance several strategic initiatives, including fundamental work on our climate strategy, permitting for the phased expansion at Jacobina and demonstrated ongoing exploration success across the portfolio. We also plan on conducting several investor events over the course of 2022, including an Investor Day in early April, in addition to 2 separate in-person mine tours. During the second quarter of 2022, the company will conduct a mine tour, featuring Canadian Malartic and the Odyssey project as well as the company's Wasamac project. During the fourth quarter of 2022, the company will also mine through El Peñón and Minera Florida. We will announce a further notice with additional details ahead of each event. And last but not least, I would like to thank each and every one of our employees for their hard work and commitment in 2021. And this new years, that has started, we count on you to continue mining responsibly and profitably. This dedication has allowed Yamana to demonstrate operational strength and deliver strong cash flow generation which, together with our exploration success position us well to deliver on our next stage of growth. And with that, I will turn it back over to the operator for questions. Operator?
Operator: [Operator Instructions] The first question is from Ralph Profiti with Eight Capital.
Ralph Profiti: My first question, and I know it's early days, but there's discussion about a second shaft at Canadian Malartic. Just wondering what's going to be driving that decision? Should we think about that in the context of sort of scale up of the entire operation? Or is it more exploration and resource driven things like East Gouldie and Malartic? Help us put that in context, please.
Daniel Racine : You touched it on your last point, its basically based on really good success on exploration so far as we -- how we extended now the zone more than 1 kilometer east of the existing known resources and the reserve at resources at East Gouldie. So it's only a strategic decision that will come later. Right now, the focus is really to advance the development underground, drilling from underground and then start the production on Odyssey South next year. But as this thing grow with over 15 million ounces of resources right now, we have to think about what's next at Canadian Malartic.
Ralph Profiti: Yes. Understood. Okay. And as a follow-up, sort of a broader question on this long-term target of 1.5 million GEO, Daniel, how realistic is that? You talked about advancing all the opportunities. Should we think about that in terms of like this is the plan? Or should we obviously have some sort of consideration for competition of capital within Yamana's project analysis, and help us put that in context?
Daniel Racine : Well, I can tell you, we have a plan that shows that number, Ralph. We're working on this now for over 2 years. We're releasing a 10-year outlook that it's conservative when we talk about 1.2 million. But you know that Phase 4 expansion at Jacobina is real. It exists with the growth reserve. If we're successful like we think we will be at El Peñón, grade will get up and then we have new zones to mine. . We're very confident in Cerro Moro. We had great success at Cerro Moro last year in exploration, and it continues as we're getting the result of drilling of last -- late last year and early this year. So -- and then the expansion of Minera Florida, all the mines we think we can do better. Even Wasamac, what’s probably changed by the time by -- what we're speaking now, by the time the mine is in production, we're going to put a lot of efforts on drilling. So we have a plan that shows that we can reach that with the existing mine, including Wasamac.
Ralph Profiti: That's very helpful. I mean these things look like high impact, low-risk, high IRR-type of bolt-on projects. So interested in how this develops.
Daniel Racine : Yes. Yes. It's always our target that -- Jacobina is a good example. We have basically spent just -- we're going to spend just over $20 million with Phase 1, Phase 2 and Phase 3 now, we're seeing a small amount. So a very high return project, big growth for a small amount of capital investment. And the project we're studying at Cerro Moro are the same, to increase production, but very low capital. And as you know, El Peñón, any tonnes doesn't cost any money because the mill capacity is already there. So we're looking at these high projects, and this is what globally our team is evaluating each year which project we should run first with high return.
Operator: The next question is from Jackie Przybylowski with BMO Capital Markets.
Jackie Przybylowski: I guess I just want to ask conceptually about the Investor Day or Analyst Day that you've got coming up. It seems like you're planning to focus on the longer-term projects in production. So why didn't you update your 10-year guidance? I mean it just sort of seems inconsistent to me. Do you have new information to report at the Analyst Day? Or are you saving that for 2023 guidance?
Daniel Racine : No, on the Analyst Day on April 5, it will be to show our outlook --
Jackie Przybylowski: Sorry, Daniel, I'm having trouble hearing you.
Daniel Racine : Is it better now?
Jackie Przybylowski: Yes, yes, yes.
Daniel Racine : Our target on the April 5 is to show what we released today. You see we're going to update that 10-year outlook on each second year. So the new update will come in 2023. But like I was saying this morning and made it clear, if we have something new coming, like last year our guidance was 1 million ounces for the next 3 years, now we increased it by 30,000 ounces next year and then another 30,000 ounces in 2024. So that's a big increase for us. And if there's changes in that plan, we're going to -- we want to talk about it. So yes, the April will show the potential for the future and talk about the project I spoke earlier.
Jackie Przybylowski: So basically, it's more information about the plan that you've put out last night. Is that right?
Daniel Racine : Yes. .
Jackie Przybylowski: Yes. Okay. And my second question is on MARA. I know you've got the feasibility study that's coming up sometime this year by year-end. What are your thoughts? What is Yamana’s view on what happens next year or going forward with MARA? I mean what could we expect to see sort of in 2023 or 2024 on that project?
Daniel Racine : Well, our plans have not changed, but I'll let Gerardo answer what's coming from MARA.
Gerardo Fernandez : Yes. The focus this year is to finish the feasibility study and advance to EIA --
Jackie Przybylowski: Sorry, Gerardo, I'm having trouble hearing you, too. Sorry.
Gerardo Fernandez : Yes. Is it better now? I guess --
Jackie Przybylowski: Yes. Yes.
Gerardo Fernandez : I was saying the plan for 2022, as we said, is to complete the feasibility study, get the results by the end of the year and also file the EIA also in the later part of the year. And then the main focus will be on the permitting trying to achieve that in 2023. Then depending on how that goes, and we have an expectation on time line, but then we'll continue to advance engineering even though the project is well advanced in terms of the plant, obviously, its built. There are other things that we think we can do and continue to optimize. So that we expect to have a part of the [track] better in engineering and early works in preparation. But you also have noted that we have said that depending on other factors, we will evaluate where we stand more strategically regarding the project and at that time when we get the submittal of the EIA, and that will drive also all the decisions.
Operator: The next question is from Fahad Tariq with Credit Suisse.
Fahad Tariq: Thanks for taking my 2 questions. Just first on the long-term outlook. Can you delineate between how much of the growth to 1.5 million ounces comes from Wasamac versus all the other operating mines?
Daniel Racine : To go to 1.5 million, first, we have to go to the 1.2 million to 1.25 million now, actually. With the increase of 50,000 ounces I said, it's Wasamac is going to be 200,000 ounces out of this for now. But like I mentioned, we have -- with success on exploration at Wasamac, we're studying what will be Wasamac in the future. And then some of it -- some of the 3,000 ounces more -- 300,000 ounces more, some of it can come from Wasamac. But at this point, it's conceptual. I don't want to give detail, but we see clearly that we can reach that target.
Fahad Tariq: Okay. That's helpful. And then just taking a step back philosophically, I mean looking at the portfolio, it looks like you can have a very capital-light growth profile with the existing mines with Wasamac. Is there any appetite to still look at the generative exploration program or anywhere else to think about a new build? Is that even part of the 10-year discussion anymore?
Daniel Racine : It is. It is. Like Jason mentioned, we have increased our budget at Jacobina, it's not for nothing. We continue to go towards what we call Jacobina Norte. Eventually, we'll change that name for another name, but that's 1 of the big prospects we have for another mine. We have Lavra Velha in Brazil also that we think can be a part of that increase that extra 250,000 to 300,000 ounces can come from that project within the 10 years guidance -- outlook. So yes, the generative exploration project, we still think will generate one mine. But we're going to be more focused. You're going to see this year, we won't spend on 7 or 8 projects like we did before, it will be more focused on 2 or 3 projects. And then for sure Jacobina is one of these projects.
Fahad Tariq: Okay. That's clear. And I'm just going to squeeze 1 more. Minera Florida, the labor action that happened in January. Can you just give us an update on where things stand now?
Daniel Racine : It was settled so production restarted in the third week of January and then the full February so far, it's back to full operations. So we lost 3 weeks in December and 3 weeks in January.
Fahad Tariq: And the negotiation, the underlying negotiations?
Daniel Racine : Negotiations, [112]. So there's no problem. We both reached an agreement that was good for both parties for 3 years. So we won't talk about Minera Florida for the next 3 years.
Operator: The next question is from Mike Jalonen with Bank of America.
Mike Jalonen: Dan, just had a question, going to the second shaft, I know it's conceptual at this point, its in Malartic. Would that be kind of aim towards the non-royalty ground when the mineralization goes on to avoid ground Malartic? And I have a second question after that.
Daniel Racine : It's very conceptual like we mentioned. It's going to be on the -- further east to the actual Odyssey project towards rent. I'm not sure it will be on the round ground or it will be on the Canadian Malartic ground yet. Like we said, it's conceptual. But as we see resources increases and as we're going to drill it more now from underground and also continue on surface, we will see in the future what's the best position. The actual Odyssey shaft when we first thought about it, was in a different location. And with time we decided to put it. It all depends where the center distribution of the ore body would be. We usually try to put it in the middle of the zone, so we can go on each eye to mine. So the final location is not decided as we continue to expand towards the East.
Mike Jalonen: Okay. And then moving to El Peñón., I noticed from 2021 production, the '24 silver production, up 39%, almost 5 million ounces in '24, whereas gold production is flat. So is El Peñón running into higher silver grades? And is that sustainable past '24?
Daniel Racine : Yohann or Henry?
Henry Marsden: I can jump in on that one. Certainly, the zones at Peñón, it's a matter of scheduling. There certainly are zones with higher grade silver, and it's really just a scheduling issue there. So they'll see that increase as they go into zones that have that slightly higher silver to gold ratio.
Daniel Racine : We have zone, Mike, that are a lot richer in silver at El Peñón. It all depends on sequencing, like Henry mentioned.
Mike Jalonen: Okay. Well, look forward to the trip later this year.
Operator: The next question is from John Tumazos with John Tumazos Very Independent Research.
John Tumazos: How are you thinking about the strategy with the MARA project in Argentina? These days, lots of places in the world look a lot less good like West Africa, Ukraine, Chili's Constitution. Argentina is a little rough, but probably it's not going to get any worse. And golden copper prices look great, too.
Daniel Racine : John, look, we're mining in Argentina now, that's our 12 years starting this year. So we know the country quite well with the Gualcamayo Mine in the past with the project we have there with the Cerro Moro mine. So what's our thinking, our thinking, I think, Gerardo explained it quite well before, our plan now is to complete the feasibility study with our partners, complete the EIA by the end of this year also then permitting process and then continue to advance the project. And then we'll see what happen in the future. Our goal with MARA is to continues to create value for our shareholders. If the best option is to build it, so be it. If the best option is to sell part of it or 100% of it, we'll see. But we're not there now. We are really focused on the feasibility study and the permitting process.
John Tumazos: Daniel, today, the gold price is so wonderful at $1,900, but many of the small-cap gold stocks only go down, maybe the Bitcoin is the big competitor or something. Do you think you have enough management time to make another acquisition like Monarch or Mega Precious Metals, these little companies, they're almost free in the stock market.
Daniel Racine : Look, John, our strategy is quite clear. We have 5 great operations that we see a lot of potential to get to higher production. We have Wasamac that will be our new mine coming on stream. We think internally with our generative exploration program, we'll have another mine, but we have to keep our eyes open. Look, the Wasamac project came to us last year. We look at it, we decided to buy it. So opportunities like that, we're going to keep our eyes open. That's our job as management, and we do it to look at opportunities in the Americas. We won't go in other jurisdiction, like we mentioned. But across the Americas, from Southern Argentina to Northern Canada, we're looking at opportunities all the time. And then 1 can fit our strategy and our goal, then we can -- we will look at it. But right now, we're really focused on the expansion at Jacobina, delivering on the Odyssey project, the construction and all the other projects like MARA I mentioned and then the growth internally.
John Tumazos: I want a few shares. I'm very happy.
Operator: There are no further questions registered at this time. So I will now turn the meeting back over to Mr. Racine.
Daniel Racine : Thank you, operator. So thank you all for joining us today. We look forward to sharing our first quarter results in the spring, but before that, for sure, the Investor Day in April. Please take care and be safe. Bye for now.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.